Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the Ameresco, Inc. Second Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Leila Dillon, Vice President, Marketing and Communications. You may begin.
Leila Dillon: Thank you, Towanda, and good afternoon, everyone. We appreciate you joining us for today's call. Joining me here are George Sakellaris, Ameresco's Chairman, President and Chief Executive Officer; Doran Hole, Senior Vice President and Chief Financial Officer; and Mark Chiplock, Vice President and Chief Accounting Officer. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. This call contains forward-looking information regarding future events and the future financial performance of the company. We caution you that such statements are based on management's current expectations or beliefs. Actual results may differ materially as a result of risks and uncertainties that pertain to our business. We refer you to the company's press release issued this afternoon and to our SEC filings. These documents discuss important factors that could cause actual results to differ materially from those contained in the company's projections or forward-looking statements. We assume no obligation to revise any forward-looking statements made on today's call. In addition, we will be referring to non-GAAP financial measures during this call. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. A GAAP to non-GAAP reconciliation, as well as an explanation behind the use of non-GAAP financial measures is available in our press release and in the appendix of the slides, which can be downloaded from our website. I will now turn the call over to George. George?
George Sakellaris: Thank you, Leila, and good afternoon, everyone. The second quarter marked another excellent quarter for Ameresco with broad strength across all of our business lines, reflecting the benefits of our diversified business model. We achieved 23% growth in revenues. We tripled net income as compared to last year's second quarter, and we grew adjusted EBITDA by 42%. Our project business achieved another quarter of strong growth, benefiting from our continued focus on project execution, as well as the ongoing shift to more comprehensive and complex projects. And while experienced a softening in our contracted backlog due to pandemic-related timing issues that Doran will discuss in a few minutes, we are very pleased to report that we have already converted $98 million of awarded backlog to contracted backlog since the end of the quarter. Also, we are seeing the benefits of organizations returning to more of a business-as-usual environment. As such, our current project activity is at its highest level ever, demonstrating our customers are now very engaged in moving projects forward. This activity paves the way for excellent future growth. In the second quarter, we brought a record 33 megawatts of assets into operation, including the McCarty Road RNG facility. Our world-class biogas engineering expertise and long history of successful plant development and operations makes Ameresco the goal to partner for RNG opportunities. And our RNG asset momentum is continuing as we anticipate commissioning three RNG plants during 2022 and another four in 2023. While RNG continues to see a significant amount of industry and investor interest, it is just one of the many clean energy technologies that Ameresco has significant expertise in executing in executing and operating. This diversified clean technology expertise allows us to win some of the largest and most complex projects in the industry. Our recently awarded Fort Hunter Liggett project highlights this expertise. At the heart of this $21.6 million project will be a secure island mode and autonomous micro grid with the ability to interconnect with existing an additional energy generation and storage system. This project will go a long way towards helping this army base reached its ambitious net zero use targets by 2022. As important, it will also greatly increase the base's resiliency, which has become an absolute necessity for the military. In fact, recently-enacted army directives require the prioritization of providing resilient energy and water supplies for facilities and infrastructure that support critical missions. Similar directives in med days continue to not only drive significant opportunities across our federal government client base, but also are resonating with other institutional clients and industries, which can be crippled by even a temporary loss of power. Elsewhere, across our diversified offering, we were very pleased to be recently recognized as the number one Energy as a Service provider in the Guidehouse Insights' Leaderboard report. We continue to see significant customer interest in this important financially flexible Ameresco offering, especially in the higher education market. As an example of our leadership in this space, we recent designed an energy as a service agreement with Northwestern University, where we will provide energy-related infrastructure upgrades. We will also provide ongoing software-related energy management analysis and related operations and maintenance under a long-term service agreement structure. This agreement marks the beginning of a great, long-term partnership with a top educational institution. The agreement will cover both the main Evanston and Chicago campuses, including more than 175 built-ins and central plants. The partnership will help Northwestern University address related upgrades and defer maintenance challenges with no upfront capital requirements from their part, while helping us to achieve its goal of reducing greenhouse gas emissions by 30% by 2030. Potential customer interest in the energy as a service financial structure continues to build, and we look forward to announcing additional agreements in the future. I do want to take a minute to share an exciting independent director appointment to our Board. Claire Hughes Johnson joined our Board on July 21st. Along with the first perspective, she brings more than two decades of experience directing product innovation, successfully scaling business and go-to-market strategy for a range of technology industry leaders, including both Google and Stripe. Claire will be sure to add tremendous value and additional diversity to our strategic brands of directors. I will now turn the call over to Doran to provide some comments on our strong financial performance. Doran?
Doran Hole: Thank you, George, and good afternoon, everyone. Please refer to our press release and the supplemental slides that have been posted to our website for additional financial information. The second quarter clearly demonstrated great momentum in our business with strong growth in revenue, net income and adjusted EBITDA. Revenue increased 23% year-on-year, with solid growth across our four business lines, led by the excellent performance of energy assets and projects businesses. Several factors led to the impressive 28% revenue growth from our energy assets. First, we continue to execute on our long-term strategy of growing our assets over time and building our high-margin recurring revenue base. In addition, our RNG production increased due to improved efficiencies at our plants. Lastly, we also benefited from the continued strength in the market price of RINs. As a reminder, we contract a portion of our anticipated production to support healthy project financing and reduce volatility. The remaining production is sold on a merchant basis, which allows us to take advantage of upside from positive price movements. Our projects business continued its robust growth with strong execution across geographies and markets. We see an increase in the number of larger, more complex projects as our customers look more holistically at their entire energy and water portfolios. The growth of our recurring revenue business lines is also benefiting our earnings as these businesses carry higher margins. During the quarter, our gross margin hit 19.5%, increasing 90 basis points sequentially and 180 basis points year-over-year. Our revenue growth and margin expansion, along with lower income taxes, drove an impressive quarter of earnings growth, with GAAP EPS of $0.26 and non-GAAP EPS of $0.34, an increase of 79%. Despite an increase in operating expenses, primarily related to employee health insurance costs, our adjusted EBITDA grew 42% to $34.4 million. As in previous quarters, our non-GAAP results exclude the impact of noncontrolling interest activities from tax equity partnerships. Moving to our backlog. We're pleased to have maintained a relatively flat total backlog, given the tremendous conversions of awarded and contracted backlog to project revenue since the beginning of the pandemic. As you may recall, we purposely shifted our efforts to project execution during the heart of the COVID-19 crisis, as site access was a significant risk during that time. Our customers were also dealing with the crisis themselves, causing delays in new RFPs and awards. We expect a return to growth in our backlog, as opportunities work their way through the process. We added 33 megawatts to our operating assets portfolio during the quarter, including the 11.7 megawatt McCarty Road RNG plant and four solar assets, totaling 19 megawatts. We also added another 23 megawatts to our assets in development. Our 315 megawatts of operating assets have approximately $1 billion in long-term contracted revenue and incentives. Together, with our $1.1 billion O&M backlog, we are continuing to grow our higher-margin recurring revenue businesses, providing us with considerable long-term visibility. Ameresco's liquidity has never been stronger as we have ready access to the resources needed to execute our aggressive growth strategy. We ended the quarter with available cash of $59 million and $141 million of capacity on our $180 million revolver. The $65 million increase in our revolver was the result of an amendment to our senior facility that we signed in Q2. Additionally, we have broad access to non-recourse project financing and tax equity as well as the ability to monetize development assets. A great example of this access comes from a recent $100 million non-recourse financing facility we closed in July. Using this facility, we drew down approximately $45 million to finance over 10 solar projects nationwide across multiple customer classes. Notably, the senior tranche of this financing carries an interest rate of only 3.25% and a 25-year amortization term. Ameresco continued its widespread focus on environmental, social and governance initiatives this quarter. We kicked off April with our first green week. Every employee received a tree seedling with planning instructions, launching a full week of green initiatives and educational content. Employees actively participated in a photo challenge, capturing their tree planting projects and other green activities. Many of these photos can be found in the ESG section of our website. In addition, as we continue to invest in our cybersecurity expertise, we expanded our company-wide training program to educate employees on the importance of our comprehensive cybersecurity protocols. And finally, our ESG team worked collectively across the regions to identify numerous community volunteering opportunities available during the summer months. We look forward to reporting back on this next quarter. In closing, as outlined in the press release, we are reaffirming our 2021 financial guidance given our great visibility and business momentum. Now I'd like to turn the call back over to George for closing comments.
George Sakellaris: Thank you, Doran. In closing, I want to again take a moment to thank our employees for their dedication and outstanding execution. A heartfelt thanks also go to our partners and our customers for their continued commitment and cooperation. We see tremendous opportunities in front of us, favorable policy momentum. And our customers' increased focus to lower their carbon footprint have changed the dynamics in the marketplace. This coupled with their needs for infrastructure upgrades, cost savings, resiliency and the de-carbonization or their electric and gas suppliers puts Ameresco in a leading position to continue to thrive. Operator, I would now like to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: Good morning, everyone, rather good afternoon.
George Sakellaris: Good morning, depends where you are.
Noah Kaye: So used to have in your calls in the morning.
George Sakellaris: Yeah.
Noah Kaye: I just wanted to start with the Project side. I think you mentioned in the prepared remarks, you're now seeing activity at record levels in that Project business. I wonder, if you could go into a bit more detail possible by vertical and talk about the trends across muni, schools, some of the regions and then the government. We have seen just a ton of COVID stimulus money come into the education system. One would think you'd be well positioned to benefit from that. But just give us a sense of, where the momentum is and what you think is going to potentially translate into some nice bookings for you?
George Sakellaris: Okay, Noah. I will give it a stab and then maybe Doran can add some more color to it. But it's across the board. And I would say schools, colleges, universities and a considerable amount of hospitals and what's happening with the schools in some of the municipalities, they've got some COVID-19 money, and they leverage in that. So we see a good activity in that sector. And the C&I market is beginning to pick up. That's why in one of my comments, I said that, because of the carbon foot reduction that they want to achieve, we see more activity in that particular sector. So – but generally, it's across the board. And the other thing that happened, maybe we have a little bit pent-up demand, because the second and third quarters of last year, pretty much we had very minor activity in RFPs and so on. But now it's more than double of the activity that we have seen before. So, it's picking up. But it's going to take six months to a year when they turn to awards and then, of course, to actual contracts. And on the federal development, the projects are getting larger and larger because of resiliency, and that's becoming a big issue across all of our market segments.
Noah Kaye: I guess, unless, Doran, you want to add anything to that. I'll just want to clarify, George, you said the RFP activity is more than double the activity to before. Is that kind of relative to this time last year, or are we really talking about relative to like a pre-pandemic normal, normal?
George Sakellaris: Even with pre-pandemic, that was substantially, substantially higher. And then the other thing that we don't mention a lot, the assets in development activity, it's tremendously higher than what it used to be before.
Noah Kaye: Yeah. On the Energy as a Service, congrats on the Northwestern agreement, just help us understand the appetite for that in the C&I space. I mean, part of the value proposition, I would think here is, you're generating tremendous insight from data, from measuring the performance of all these assets on an ongoing basis. And so you really become potentially sort of a partner to some of these customers. And of course, the no upfront capital is part of the value proposition as well. So how is that trending? And when you talk about the C&I market picking up, how much of that is kind of the traditional model versus this Energy as a Service?
Doran Hole: So, yes. So no, it's Doran. I don't think I'll really go into the proportions from your last question, but I would say that the Energy as a Service model is something that is and will be attractive on the corporate and industrial side. The amount of inquiry is certainly picking up substantially. We have multiple parts of our business that can help these companies kind of track and measure their carbon reduction, and that really helps them when they talk about where they are publicly disclosing what their ESG net zero goals might be, their ESG/net zero. So it's not exclusive to corporates or industrials. Certainly, we see this in the higher ed and the schools, but the corporates are certainly interested yet.
Noah Kaye: Great. Thanks. I’ll turn it over.
Leila Dillon: Thank you.
Doran Hole: Thank you, Noah.
George Sakellaris: Thank you, Noah.
Operator: Our next question comes from the line of Julien Dumoulin with Bank of America. Your line is open.
Unidentified Analyst: Hey, this is Anya [ph] stepping in for Julien here. Good afternoon guys.
Doran Hole: Hi, Anya.
Unidentified Analyst: Hey. So I think, first off, maybe turning to the RNG market here. Does your guidance fully reflect D3 RIN pricing, or does it still remain somewhat conservative?
Doran Hole: Hi. It remains somewhat conservative, Anya. I mean we don't want to -- we know that those market prices move around. We try to stick with consistency and being conservative there.
Unidentified Analyst: Okay. That's fair. And then on RNG growth, maybe more generally too. You guys have historically talked about like a three to four-project cadence coming up over the next few years. Any reason to think that this could scale higher just given the amount of growth that seems to being discussed lately?
George Sakellaris: As it stands right now, this is what we have provided guidance, the plans for the next couple of years. But on the other hand, I think we did disclose before that we have 13 plants that we have in development, exclusive rights and so on, but takes time to permit them and so on. So we feel very good with the projects we have announced. On the schedule, the three of the four. And -- but on the other hand, we have great visibility for the years beyond that too.
Unidentified Analyst: Okay. Great. Thanks. And then just finally, could you talk maybe a little bit about cost inflation and mitigants for that and just any updates on that subject?
Doran Hole: Sure. I'll address this the best I can. I think it's a topic that's widely talked about, both internally and externally, of course. So, on the project business, as we've probably talked about before, we do quite a bit of work to derisk those projects before contracts get signed. So in other words, we do our best to lock in our contractors, lock in our procurement before we sign customer contracts, so we can protect our margins. Secondly, when it comes to energy assets that go on the balance sheet, whether it's the traditional assets or the Energy as a Service assets, whatever it might be, because of the fact that we have a very, very long-term investment horizon, there's a certain amount of this inflation that we're able to absorb without materially impacting our returns. And as a result, we feel like it's been manageable.
Unidentified Analyst: Okay, great. Thank you. I'll step back in the queue.
Operator: Thank you. Our next question comes from the line of Erin Stine with Craig-Hallum. Your line is open.
Eric Stine: Hi everyone.
George Sakellaris: Hi Eric.
Eric Stine: Hey. Just maybe on the equipment side, and you mentioned that some projects, you often won't buy ahead or try to secure equipment in advance. But just curious in the current environment, I mean are you seeing any shortages? I would assume it helps you given that you're kind of equipment agnostic. But anything you're seeing or steps that you're taking to protect against that going forward?
Doran Hole: I mean I think the only way to answer that is to just kind of remind folks that we have a very diversified business. We don't have any substantial concentrated equipment types that we have to buy on a regular basis that have a substantial impact on our overall project execution. And for that reason, we're not really running into substantial issues as it relates to the shortages/delays are things that we can anticipate through our -- some of our centralized procurement. And we ensure that the project managers and execution teams out in the field are equipped to communicate timing with their customers so that expectations are met.
Eric Stine: No, that's great. Good news there. And maybe for my last one, just to follow up on the previous press question. Just on the RNG side, can you just remind me, as far as the pipeline or in fact, the three that you're planning for 2022 and four for 2023, is there any dairy RNG in either of those buckets?
George Sakellaris: No, no. But on the other hand, you should know that we are looking at some of them down the road. We'll probably make some announcements along those lines, and we have some very good activity in that sector as well, but nothing to announce yet.
Eric Stine: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Ben Kallo with Baird. Your line is open.
Ben Kallo: Hey, good afternoon and congratulations.
George Sakellaris: Thanks Ben.
Ben Kallo: You added a big number of -- to your assets in your portfolio. I was going back through all the press releases and the biggest jump since you guys are reporting that. And I know last call, you talked about 55 to 75 additional megawatts from when you reported. That's a good chunk of that. So, are you still comfortable with that, or should we be thinking about the upper end of that? And then maybe you can just go all back to the activity level you talked about before.
Doran Hole: I mean the activity level, I'll address first. Remember that that's in the proposal world, and we're seeing a lot of activity in terms of new assets that can be developed. We only include assets in development when we are sitting with probably a 90% likelihood of placing those assets into operation. That being said, sort of moving over to your other question, I think we're still comfortable with the range, as you know, with placing solar assets into service. There's always puts and takes, utility timing, things that are out of your control. So we like to keep the range a little bit wide. So can't really sharpen the guidance there at all.
Ben Kallo: That's okay. On the Energy as a Service front, what has caused the market to change? I know there's some other folks out there trying to do this but – to where different customers are willing to go in this model. And then could you just talk – you guys bringing a financing partner, how does the work – what are the different parties that are part of the deal? Thank you.
Doran Hole: So the financing side of it, first and foremost, I think our strategy is to kind of take careful consideration as to whether we need to bring financing parties to the table on day one. In some circumstances for larger projects, we will. In other circumstances, we may not and we may simply hold everything on balance sheet and finance portfolios later on down the road, especially with the smaller projects. I think the popularity of the idea comes from a couple of places. One is simplicity, which is that we simply buy the equipment, install the equipment and negotiate a payment stream with the customer, where the customer doesn't have to get involved at all into the financing. The second is that many of these customers are in a position where they would prefer to pursue a strategy like this as opposed to doing any fundraising that would impact their own credit.
George Sakellaris: Yes. We have a strong balance sheet and there is no shortage of financial partners. Many people have approached us. But at this point in time, we think that if you have control of the project, we're in a better position to get better terms for ourselves as well as for the customer.
Ben Kallo: Great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Pavel Molchanov with Raymond James. Your line is open.
Pavel Molchanov: Thanks for taking the question. Three of your most recent project announcements have been from Europe: the UK and Greece. Should we look at that as a signal that you are placing more emphasis on the opportunity across the Atlantic, historically a very small part of the business?
George Sakellaris: Finally, we get a very good traction over in Europe. As you might recall, we started -- we bought a little company out in the UK, and we're planning to use that as a platform to expand across Europe. And with new management that we put in the UK Britta MacIntosh about three years ago, we – no question about we're getting great traction. And we will be looking for expanding in Europe more than what we have done in the past because, again, the environment is great. And we are looking and strategizing how we're going to grow that in that part of the world because – and it's great to see. Right now, we are already number three in the UK as an energy services company, which to me is a great milestone. And since we got to that level, now we will capitalize on that.
Pavel Molchanov: And in that context, you referenced the acquisition in the past. I think the last acquisition made by Ameresco, correct me if I'm wrong, was Maximum Solar, and this is now more than two and a half years ago. How are you looking at inorganic growth opportunities through M&A generally these days?
George Sakellaris: We continue to look for what we call accretive acquisitions that will make good economic sense. And in Europe, especially when we go to the international market, I wouldn't be surprised to see us do something in that regard. And after we raised the capital for Ameresco, we are getting a little bit more, I would say, aggressive in the marketplace, and not only to focus in organic growth, which we're doing very, very well. But if the opportunity comes up, we will execute on acquisitions, but they have to be accretive, and we are disciplined in our approach.
Pavel Molchanov: Right.
George Sakellaris: Yes, thank you.
Leila Dillon: Thank you very much.
Operator: Thank you. Our next question comes from the line of Tim Mulrooney with William Blair. Your line is open.
Tim Mulrooney: Good afternoon.
George Sakellaris: Good afternoon.
Doran Hole: Hi there.
Tim Mulrooney: Doran, housekeeping question. For your 114-megawatt equivalents of RNG that are in development and construction, is that the three RNG plants in 2022 and the four in 2023, or does this also include other RNG assets in development beyond 2023 as well?
Doran Hole: It includes others beyond 2023
George Sakellaris: Yes.
Doran Hole: I believe.
Tim Mulrooney: It's the other 13 plants that you have identified sites and gas rights to and that kind of thing as well or some of those, I guess?
Doran Hole: That's right. I mean you can kind of see the list of three in 2022, four in 2023, and then the remainder filling out that 13.
Tim Mulrooney: Okay, okay. Thank you. And then, George, earlier during the Q&A, you said that projects are getting larger and larger due to the issue of resiliency, which is becoming a bigger issue, particularly on the federal side. Can you just talk a little bit more about that? I guess my question is, why now? I mean is it primarily folks waking up from the California fires and the Texas freeze, or has this really been gaining steam in the background for many years and now it's just kind of percolating to the top?
George Sakellaris: Well, no, it's percolated to the top. And basically, the economics is another driver of -- because of all the technological improvements or the innovations in the last few years. Like the micro grids. They were very expensive sometime back, but now they're getting much cheaper, better storage. Again, the costs have come down, solar, combined heat and power, So, for example, take the Paris Island project when we started out, that's supposed to be $48 million project. And then when they said, you know what, we are very prone to storms down here. We need resiliency. So, we went back with the combined heat and power plant with a battery storage, with a micro grid, with solar. And now they can isolate themselves, and the project became the $98 million the theory, all that got one of the savings. A few years back, you wouldn't be able to do that. So – and the other thing people are talking about cybersecurity and so on. And now with the storms or the weather-related contingency that we have, they have come to realize that resiliency is a key part of the solution as we go to more and more green, whether it's solar, whether it's wind or whatever the case might be because a similar event that's weather-related, we'll take all those out. And that's that has made the project much larger. And now it's beginning to speed longer, colleges and universities that they're asking for more resiliency, not rolling about reduction, but backup generation. And the economics again, they have come where they make good economic sense for the customer.
Tim Mulrooney: Got it. That’s great. Thanks for taking my question.
Operator: Thank you. Our next question comes from the line of Stephen Gengaro with Stifel. Your line is open.
Stephen Gengaro: Thanks and good afternoon, gentlemen. Two things for me. The first, and I might be looking at this a little wrong, when I look at your CapEx expectations for the rest of the year for energy assets and the amount being employed 22 to 42 megawatts, it looks funky sort of dollars per megawatt versus what you've done. Is this a timing issue or the projects? Is there a mix issue here? I'm just trying to understand the CapEx relative to what's getting commissioned.
Doran Hole: Steve, one second, let me take a quick look at those dollar figures.
Stephen Gengaro: So Doran, maybe while you're looking at that, the other -- just the follow-up was just around margins. And I know someone had asked about RIN pricing and the impact of that on margins in your model. But is there anything we should be thinking about as sort of the critical drivers in the back half of the year? Because it looks like back half or sort of full year margin guidance is a little bit above where the first half was and just sort of understand the margin step up in second half versus first half of 2021.
Doran Hole: Yes. I'm going to let Mark tackle that margin question.
Mark Chiplock: I can talk to that just briefly. I mean, I think we're certainly seeing some of the benefit of the improved RIN pricing, but it's also a function of improved production on the assets as well. So I think as we look to the second half of the year, part of the puts and takes of our margin will be what's happening with the assets, but it will also be a function of what's happening with the mix of projects as well, which we have some decent visibility too. So I think we'd expect our margins to still be within the range that we've provided. And then obviously, if things happen differently with RIN pricing, we may see the benefit of that, they go the other way, then I think we still have maintained some conservatism in our estimates.
Stephen Gengaro: And on the O&M side, there is some seasonality, too, I think, right?
Mark Chiplock: Not a lot of seasonality to O&M. I think some of the things that might impact O&M quarter-to-quarter really come down to some unplanned maintenance various adjustments on certain projects, but not a whole lot of seasonality on the O&M side.
Stephen Gengaro: Great. Thank you.
Doran Hole: Steve, just to go back on the CapEx thing. I think the math is a little bit skewed in the sense that when you look at the CapEx numbers, that CapEx will include CapEx toward megawatts that don't actually get placed in service until next year? And so there's a little bit of a mismatch there in terms of it's not -- when we talk about those dollars of CapEx, that's not the dollars of CapEx related only to assets being placed in service this year, it's related to all assets that we're constructing.
Stephen Gengaro: Understand. Okay, thank you for clarifying.
Doran Hole: Absolutely.
Operator: Thank you. Our next question comes from the line of Pearce Hammond with Piper Sandler. Your line is open.
Pearce Hammond: Yes, good afternoon and thanks for taking my question. Just one question today for me. At the last quarter, you had highlighted the construction start at the Norfolk naval shipyard project, $173 million project. And of note, it had a battery energy storage system and a micro grid. I was just curious, are you getting a lot more interest from customers for battery energy storage and micro grids, Basically, what's the appetite right now for that? Is it growing as we're seeing more problems with power resiliency and reliability? Thank you.
George Sakellaris: No question about it. We're seeing more and more requests from customers. Even in some cases, where we have installed solar installation for some C&I customers as well as other institutional accounts. They're coming back and they say, how about some battery, storages. It's in a microgrid associated with it. And no question about it. I mean, again, what we have in development on the batteries is several magnitudes of what we have actually installed to-date. So, that gives you a level -- an idea of what the level of interest is.
Pearce Hammond: Thank you George.
Operator: Thank you. Our next question comes from the line of Chris Souther with B. Riley. Your line is open.
Chris Souther: Hello, thanks for taking my question here. So, I want to talk a little bit about the uptick under Biden in the ESPC market. I imagine some of the RFPs are they're going to take some time to work into the backlog. But maybe you could just discuss the timing of when we could start to see this higher activity that you've been talking about, start to reflect really in net new awards. Is that back half of the year thing or a lot of these more likely kind of early next year that we'd be looking at?
George Sakellaris: I think it will be early to the second half of next year and I think you will see more and more projects. What's going on with the infrastructure build if it makes it through Congress, some of the areas, the various areas, actually, is quite a few of them. They will help us get more and larger projects down the road. So, -- but the momentum or the sentiment in the marketplace has picked up already, and it gets built over to other institutions outside the federal government, especially on the ESG front to the C&I market.
Chris Souther: That’s very helpful. And you called out kind of stronger RNG production as well as the RIN pricing during the quarter. Maybe you could frame what the impact was there versus what your expectations been heading into the quarter. And on the efficiency side, are there additional efficiency improvements that you guys are evaluating within kind of the existing portfolio, or have you made some of the conversions that would make those conversions?
George Sakellaris: Yes, good question. So, I will tackle the later one, and then Doran can take the other part. But on the optimizing the operation of the plants is an ongoing process. We instituted some incentives for the various plant managers about a year-ago and so on, based on improvements of the operation, and it's working. And so we have an excellent team of operators and excellent management team. That's why we feel very good, not only developing, building, but operating the assets, and that's a great value proposition that we are within this company. Now as far as the impact on the rig prices and so on, I don't know how much we were going to get anything.
Doran Hole: Yes, I think we – given the fact that there's such a mix of adding assets and the production impact and the RIN prices, I don't think we're at the point where we're talking about relative contributions of each of those.
Chris Souther: Okay. Understood. And maybe just kind of last one here. When I'm looking at kind of the solar development pipeline, is it fair to say that a lot of that eventually could end up in the Energy as a Service pipeline, just kind of the way that the discussions kind of end up going where you could add additional services to some of those people coming in with solar. I just wanted to kind of frame – or do you think the Energy as a Service are going to be kind of separate discussions that will kind of increase separately from the solar piece?
George Sakellaris: The Energy as a Service, it does get some solar into it. But the better part is developing, what I would call the 25 to 3, 4 megawatts of potential sites that we are working on, whether it's a landfill site or along the highways or actual green land development.
Chris Souther: Okay. Thanks, guys. 
George Sakellaris: You see one of the things that we have done there in the last couple of years and it's helping us the development a lot, we increased the capability on our solar development group, where they can develop what we call greenside development. And that is, again, beginning to [indiscernible] and Richwoods.
Operator: Thank you. I am not showing any further questions in the queue. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.